Operator: Good morning, everyone. Welcome to the Conference Call for Analysts and Investors for Infineon's 2023 Financial Fourth Quarter and Full Year Results. Today's call will be hosted by Alexander Foltin, Executive Vice President, Finance, Treasury and Investor Relations at Infineon Technologies. As a reminder, this call is being recorded. This conference call contains forward-looking statements and all assessments about the business, financial condition, performance and strategy of the Infineon Group. These statements and all assessments are based on assumptions and management expectations resting upon currently available information and present estimates. They are subject to a multitude of uncertainties and risks, many of which are partially or entirely beyond Infineon's control. Infineon's actual business development, financial condition, performance and strategy may therefore differ materially from what is discussed in this conference call. Beyond disclosure requirements stipulated by law, Infineon does not undertake any obligation to update forward-looking statements. At this time, I’d like to turn the call over to Infineon. Please go ahead.
Alexander Foltin: Thank you very much, operator. Good morning, ladies and gentlemen. Thank you for joining our earnings call for the September quarter and the full fiscal year ’23, plus the eagerly awaited outlook for fiscal ’24. On this call, you have our CEO, Jochen Hanebeck; our CFO, Sven Schneider; and the Chief Marketing Officer, Andreas Urschitz. Jochen and Sven will provide a comprehensive overview of the market situation and divisional performance key financials and the outlook. The illustrating slideshow which is synchronized with a telephone audio signal is available at infineon.com/slides. After the introduction, we will -- should there still be any, happy to take your questions, kindly asking you to restrict yourself to one question and one follow-up. We have to be a bit stricter than usual today with timekeeping given that the annual press conference is following here. A recording of this conference call including the aforementioned slides and a copy of our earnings press release, as well as our investor presentation are also available on our website at infineon.com. And now, Jochen, over to you.
Jochen Hanebeck: Thank you, Alexander and good morning, everyone. Exactly one year ago we presented our upgraded Target Operating Model to the capital markets. We explained how Infineon as a key enabler of decarbonisation and digitalization is creating sustainable competitive advantage through leadership in power systems and IoT. This translates into more profitable growth and hence superior shareholder value generation. We revised our financial targets significantly upwards; through the cycle Infineon will deliver more than 10% annual revenue growth, with an average segment result margin of 25% inside a range from high-teens to high-20s and an adjusted free cash flow margin of 10% to 15% of revenue. Now we are one year into our journey and with the most successful year in our corporate history so far have delivered what we promised. In our 2023 fiscal year, we grew our revenues by 15% to €16.3 billion. To put that into perspective, global semiconductor sales over the same period are estimated to have shrunk by around 13%, our own reference market contracted by about 1%. This clearly shows our winning formula based on verticals providing strong structural growth, even more so as the market environment has been and continues to be mixed. On the one hand, unabated momentums in areas e-mobility, our automotive MCUs, as well as renewables. On the other hand, sluggishness in computing, consumer communication and IoT related businesses. Top line growth in our 2023 fiscal year went hand-in-hand with a notable margin expansion. Our segment result margin came in at 27%, 320 basis points up from the previous year. Very solid September quarter contributor to these record annual numbers. Let's look closer into it. Group revenues in the fourth quarter of our 2023 fiscal year came in at €4.149 billion, 1.5% up from the previous quarter. Segment result for the quarter was €1.044 billion leading to a segment result margin of 25.2%. Compared to the previous quarter this number reflects the more normalized supply and demand situation in some markets in conjunction with higher under-utilization charges and some non-capitalized building costs associated with our long-term investment projects. As expected, our backlog of confirmed and unconfirmed orders keeps normalizing and stood at €29 billion at the end of September, after €32 billion three months ago. In line with a mixed market situation the backlog development varies a lot by division, with automotive seeing more than twice its annual revenue run rate in unfulfilled orders. Now, let's take a closer look at the business performance of our divisions in the concluded September quarter; starting with automotive. In the final quarter of the 2023 fiscal year, the automotive segment increased its revenue to a record high of €2.162 billion and an increase of 2% compared to the previous quarter. Once again broad-based healthy demand and market share gains in microcontrollers were the main drivers behind this further increase. The segment result increased to €617 million equivalent to our segment result margin of 28.5% compared to 27.4% in the previous quarter. The incremental increase is the result of our continuous growth trajectory, positive mix effects and stable pricing. The slight growth in OpEx, mainly for R&D, was successfully over compensated by better cross margin development. We have already given many insights on the perspective of our automotive business for the coming quarters and our automotive roadshow beginning of October. Today, we feel very comfortable to reconfirm in contrast to statements made by some other market participants, all the messages we have given a few weeks ago for 2024; these includes our projection of low double digit sales growth and a segment result margin between 25% and 28%. The recent upgrade from market researchers, S&P Global, bringing their forecasts for global light vehicle production to a total volume of 88.6 million units for 2023 confirms our view that incremental growth of produced cars in 2024 will be limited. At the same time, content continues to be our growth driver in the coming years. This is not only driven by further EV adoption but also from higher levels of aiders [ph] and our wide range of products, allowing cars to become autonomous, more digital and more connected. As we have the broadest automotive semi portfolio covering more than 300 different product families, we continue to shape the future of mobility. This breadth and variety of applications combined with our holistic application of how in-system [ph] competence leads to strong benefits for our customers all around the world and is creating a strong competitive moat [ph]. China as the most important EV market has shown a resilient growth momentum with many local firms making significant progress. For example, we now have achieved a platform content between $500 and $1,300 per car in more than 10 different models with leading local brands already on the road. More are expected to hit the market in the near future. Also on the design win side, we saw once again strong momentum. Vitesco Technologies will use the third generation of our AURIX microcontroller family in its next generation of master and zone controllers for upcoming electronic -- electric vehicle architectures as well as in its new electrification system solutions. This multi-year agreement shows once again our strength on the system solutions side, taking not only into account overall efficiency but also bringing functional safety and cybersecurity to the next level. The agreement covers the sales volume materially surpassing €1 billion. Additionally, we have just announced our new TRAVEO 2G cluster family of MCUs with a smart rendering graphic engine. With a small footprint, the new MCU simplify OEM integration and reduce bill of material costs, making them an ideal solution for advanced smart mobility instrument cluster and head-up display systems. They deliver MPU like performance at MCU cost. Also for our smart power related business, including MOSFETs, we continue to see strong and unprecedented demand from customers around the world. Especially the transition to pure 48 volt board networks is a strong driver for a variety of our leading specialized power semis. In conclusion, we were able to realize an impressive total design win volume of close to €40 billion in the last 3 years, exceeding our original expectations. Now to Green Industrial Power which can proudly look back to a record 2023 fiscal year with revenues of €2.2 billion and the segment result margin of 30%. In the final quarter of the fiscal year, revenue came in at €582 million, plus 3% compared to the previous quarter. Renewable energy power infrastructure as well as automation and drives were the main contributors to this growth. Profitability remained at a high level. The segment result amounted to €166 million, equivalent to a segment result margin of 28.5%. Looking ahead, the market environment for the GIP segment is showing a mixed picture. For applications related to decarbonization, energy storage systems, grid and charging infrastructure, we continue to see strong demand. This applies also to heat pumps on which several government's initiatives are focusing in order to bring down the CO2 footprint caused by residential heating. Contrary to this, for core industrial applications like factory automation or robotics, slowing order momentum and an inventory adjustment period are expected, lasting well into calendar '24. Similarly, there is a limited visibility into a recovery of home appliances. One clear bright spot is our silicon carbide business where we see unabated momentum from industrial as well as automotive customers. In our 2023 fiscal year, we grew our silicon carbide revenue as predicted, by 65% to a level of €500 million. In line with the unbroken strong demand we are seeing, we are significantly expanding our manufacturing capacities by building the world's largest, most competitive 200-millimeter silicon carbide power fab in Kulim, Malaysia. For the first phase of this expansion, we assume to reach the ready for production milestone in about 1 year from now, that means in autumn 2024. We are happy to reconfirm our silicon carbide revenue targets with around 50% growth expected for 2024. We are on track to reach more than €1 billion in 2025 and €7 billion towards the end of the decade. Now moving to Power & Sensor Systems. The segment's revenue in the September quarter came in at €912 million, essentially flat compared to the previous quarter. Year-over-year, however, PSS revenue contracted by 22%, showing the severity and duration of the downswing in consumer computing and communications. The segment result for the fourth quarter fiscal -- for the fourth fiscal quarter amounted to €172 million, corresponding to a segment result margin of 18.9%. Looking at the main end markets of PSS, the macroenvironment remains weak and we don't believe a broad-based demand inflection will happen before the second half of the fiscal year. Until then, we will see a sustained inventory digestion phase with adverse consequences for our sales volumes. From a midterm perspective, though, growth dynamics remain favorable, underpinned by structural trends. One of these is the proliferation of artificial intelligence. Next-gen AI data centers are approaching 20 megawatts of power consumption, thereby increasing the need for high density, high efficiency and reliable power management solutions. Total cost of ownership matters more than ever. Infineon's differentiating lateral and especially vertical power solutions can considerably reduce losses in data centers, saving money and CO2. In addition, Edge AI necessitates highly integrated power solutions. Infineon has a complete offering across the entire AI systems. Another strong structural trend is the ongoing adoption of gallium nitride, or GaN, in more and more applications that benefit from superior energy density. As you will have seen, we successfully closed the acquisition of GaN Systems and we are now moving swiftly to combine the company with our own GaN activities in a dedicated new business line. This combination will significantly accelerate our GaN road map and further strengthen Infineon's leadership in power systems through mastery of all relevant technologies. With now a combined total of 450 GaN experts, more than 350 GaN patents families, leading Edge application understanding and a well-filled customer project pipeline, Infineon is in an excellent position to address various fast growth application. You will hear more about our great growth opportunities in powering AI as well as GaN in our upcoming divisional Power Roadshow on November 28. To round off the divisional overview, let's take a look at Connected Secure Systems which saw a sequential revenue increase of 3% to €419 million. Robust demand for security solutions offset a weaker development of connectivity components and general purpose microcontrollers for IoT applications. The segment result declined to €90 million, corresponding to a segment result margin of 18.4%. The significant quarter-over-quarter margin step down is mainly due to negative ship and debit effects from distribution, indirect effects from manufacturing costs related to inventories and slightly higher OpEx from R&D projects. From a market perspective, Consumer, Compute, Communication and IoT applications are showing weakness with a recovery most likely in the second half of the fiscal year. This picture is very similar to the one of PSS segment is facing, including a necessary inventory digestion before growth can resume. The cyclical development does not diminish the highly attractive structural growth opportunities coming in particular from secular industrial and consumer IoT adoptions. This is the context in which we extended our rich portfolio of wireless connectivity technologies with the acquisition of 3db Access, a pioneer in secure, low-power and high-precision Ultra-Wideband technology. The company is already today a preferred partner and IP provider for major automotive OEMs. This acquisition further strengthened our portfolio for secured smart access, precise localization and enhanced sensing by adding UWB to our existing connectivity range, including Wi-Fi, Bluetooth, Bluetooth Low Energy and NFC solutions. The first set of IoT use cases include secured access and authentification, accurate location tracking and indoor navigation as well as presence detection utilizing UWB radar implementations. Now over to Sven, who will comment on our key financial figures.
Sven Schneider: Thank you, Jochen and good morning, everyone. As Jochen already pointed out, fiscal '23 was a record year for us. This also applies to the gross margin. For the entire year, the reported figure came to 45.5%, whereas the adjusted gross margin which excludes non-segment result effects stood at 47.3%. This is an improvement of around 200 basis points compared to the previous fiscal year, reflecting primarily the impact of higher volumes, better pricing and an increased share of value-added system solutions. The figures for the last quarter of our 2023 fiscal year are as follows. Gross profit amounted to €1,807 million, equivalent to a gross margin of 43.6%. The adjusted gross margin stood at 45.5%, a slight decrease compared to the 46.2% in the previous quarter. This was mainly due to incremental underutilization charges and some non-capitalized building costs associated with our long-term investment projects. On the OpEx side, research and development expenses increased slightly to €518 million from €496 million in the quarter before. Selling, general and administrative expenses stayed virtually flat at €399 million. Net other operating income was €22 million. The non-segment result amounted to minus €132 million. The financial result for the September quarter was minus €6 million, containing once again positive valuation effects on some of our monetary investments. Income tax expense amounted to €163 million for the final quarter of the current fiscal year, equivalent to an effective tax rate of 18%. The cash taxes for the quarter were €169 million, resulting in a cash tax rate of 19%. This leaves us for the entire fiscal year 2023 with an effective tax rate of 20% and a cash tax rate of 14%, well within our expectations. For the fiscal year 2024, we expect a tax rate of 20% to 25%, in line with our long-term projections. This, of course, is not considering any future tax law changes. Regarding our investments into property, plant and equipment, other intangible assets and capitalized development costs, we saw, as expected, an annual high in the September quarter with €1,057 million. Total investments for the fiscal year 2023 were €2,994 million, fully in line with our guidance of €3 billion. Depreciation and amortization, including acquisition-related non-segment result effects were €450 million in our fiscal fourth quarter after €441 million in the preceding quarter. The high investments, notwithstanding our quarterly free cash flow from continuing operations landed at €614 million after €326 million in the prior quarter. On an annual basis, the adjusted free cash flow which strips out investments into major front-end buildings amounted to €1.6 billion or 10% of sales within the range of our target operating model. The reported free cash flow came in at €1.2 billion, in line with our guidance as well. Looking at inventories on our own balance sheet, their reach increased slightly with days of inventory going up from 149 to 153 days in the September quarter. Importantly, this increase is related entirely to our Automotive segment, where supply certainty is a key variable in winning and retaining business and customers are prepared to share the financial burden. The other 3 segments each slightly lowered their inventories. As mentioned last quarter, we have started to take a differentiated look at stock levels as the supply-demand balance varies a lot by end market and product category. Jochen will have some more information on inventories in his outlook part. Now to our liquidity and leverage figures. The positive free cash flow brought up our gross cash at the end of September to €3.6 billion compared to €3 billion at the end of June. Our gross debt stood unchanged at €4.7 billion with a gross leverage of 0.8x. Net debt came in at €1.1 billion, equivalent to a net leverage of 0.2x. Our very solid financial position has allowed us to pay the agreed purchase price of USD 830 million for the acquisition of GaN Systems in late October out of available liquidity. Finally, our after-tax reported return on capital employed for the September quarter stood at 15.8% for the full 2023 fiscal year. It came in at 16.6%, clearly in excess of our cost of capital. To round up the financial part, I'm happy to announce that following our policy for shareholder distributions, we aim to propose at our next shareholders meeting in February, an increase of the annual dividend to $0.35 per share, leading to a payout of roughly €460 million. This reflects the successful 2023 fiscal year, while at the same time, retaining the financial headroom for profitable growth and value creation. Now back to Jochen, who will comment on our outlook.
Jochen Hanebeck: Thank you, Sven. Multiple geopolitical and macroeconomic concerns are likely to create a volatile market environment for the foreseeable future. Against this background, our end markets follow very different demand patterns. On the bright side of things, we continue to see unabated structural demand for many of our automotive semiconductors. We expect to be able to grow our automotive revenues by a low double-digit percentage rate year-over-year, even assuming that the number of vehicles produced will be flat. This is predicated on content and market share gains given that our business is highly indexed to structural growth coming from electromobility automated driving functions as well as new EE architectures leading to software-defined vehicles. In these areas, pockets of supply tightness still exist and pricing remains firm. For standard automotive parts, on the other hand, lead times have come down and stock levels in the supply chain are deemed satisfactory. Our visibility into overall automotive supply chain is good as distributors, Tier 1s and OEMs are more and more recognizing the value of sharing data. On the back of our auto backlog, equaling more than twice the projected annual revenue, some of our Automotive customers have asked and are paying for additional buffer stocks of several key products which is, as Sven already mentioned, one reason for the increase of inventories relating to the ATV segment. We are seeing a similarly healthy demand picture for renewable energy applications as well as for power and charging infrastructure, supported by governmental decarbonization initiatives. E-mobility, our automotive MCUs and renewable energies are in stark contrast to the still very sluggish Consumer, Compute, Communications IoT areas of our business. In these areas, consumers and also companies are holding back on spending in a still inflationary, uncertain, volatile environment. The down cycle appears to be continuing for now with demand remaining weak and supply elevated. Fundamental indicators have yet to materially inflect given high stock levels, a prolonged period of under shipment and inventory digestion is needed to reach a point of equilibrium [ph]. In our view, this will take about 2 quarters. And therefore, we assume a cyclical recovery to start sometime in the second half of the fiscal year. Consequently, this is -- expected development is built into our outlook, affecting mostly our PSS and CSS segments. With this frame in mind, our outlook for the full fiscal year just started, is as follows. Assuming U.S. dollar-euro exchange rate for $1.05, we expect revenues around €17 billion, plus or minus €500 million. At the mean point, this would equate to around 4% of annual growth, averaging out low double-digit growth for ATV, a flat development for GIP and high single-digit declines for PSS and CSS. On group level, the anticipated year-over-year growth is driven primarily by a volume increase plus a slight currency tailwind. On the pricing side, we expect very modest declines for the group overall with more pressure on the distribution side and for those businesses in a weak environment. Thanks to our product to system approach and value-based pricing, we have achieved ASPs on a structurally higher level which are going to stay even though through the cycle. For the adjusted gross margin, we expect a level of around 45%. Compared to the previous year, there are puts and takes. The volume increases contributes positively, slightly weaker assumed pricing, higher underutilization charges and non-capitalized building costs associated with our long-term investment projects are headwinds. The underutilization charges are expected to amount to close to €600 million on an annual basis. Assuming a structural level of such idle costs of around €150 million, the cyclical part is equivalent to around 2.5 percentage points of gross margin, reflecting our resilient underlying profitability. We are deliberately incurring these charges as we will further lower our fab loadings to keep inventories in check, driven by paid customer commitments as well as buffer stocks related to geopolitical risk and manufacturing footprint optimization. We continue to build strategic inventories with a target volume of up to €500 million. This reduces our risk of supply chain disruptions. Overall, our inventory management will keep us in a position to react swiftly in case of a faster-than-expected market upswing. With regard to inventory levels at distributors, we are actively working to reduce those by lowering our shipments into the channel currently trending at around 11 weeks, already slightly down from the previous quarter. For the segment result margin for our full 2024 fiscal year, we expect a level of around 24%, fully in line with the frame of our target operating model, given that top line growth is expected to be lower than our through-cycle average rate of more than 10%. The mixed market picture will be reflected in the divisional margin development. Segment result margins will be significantly weaker for PSS and CSS year-over-year, while ATV and GIP should see strong levels for the full fiscal year '24. Taking the aforementioned cyclical underutilization charges into consideration, our underlying segment result margin should be around last year's number. For investments in property, plant and equipment, other intangible assets and capitalized development costs, we are forecasting a level of around €3.3 billion, driven primarily by our lighthouse building projects, the analog mixed signal fab we are building in Dresden, a significant silicon carbide expansion in Kulim as well as capacity growth for wide bandgap [indiscernible] and related back-end sites. For depreciation and amortization, we expect a value of around €2.1 billion, including amortization of around €400 million resulting from purchase price allocation that will end up in our non-segment results. Our adjusted free cash flow, net of the GaN Systems acquisition as well as of investments into major front-end buildings is expected to come in at around €2.2 billion which would represent around 13% of sales, well within our target range. For the reported free cash flow, we see a level of around €400 million, including major front-end building investments and the purchase price for the acquisition of GaN Systems paid in October of around €800 million. For the currently running first quarter of our fiscal year, we project revenues of around €3.8 billion, a sequential decline of about 8%, reflecting pronounced seasonality of our customers managing the inventories down towards the end of the calendar year. By division, we expect ATV to stay flat and the other 3 segments to see mid-teens percentage declines driven partly by a distinct seasonality, partly by cyclical market weakness as described before. While the segment result margin, we expect a level of around 22% for the December quarter, reflecting the revenue decline in conjunction with some of the aforementioned margin headwinds, most notably sequentially increasing idle cost. Now ladies and gentlemen, it is time to summarize. Fully in line with our upgraded target operating model, we have achieved a very strong fiscal year 2023 with several all-time high record values for many of our business divisions indicating their growth and profitability potential. Near-term market dynamics continue to be mixed with future mobility and renewable energy as strong as structural growth drivers. In other areas, we see a persistently challenging cyclical environment with a generally slower macro recovery than hoped. Here, we continue to bring down regular inventories over time and manage weaker utilization in the sluggish areas. At the same time, we are building inventories paid for by customers and want to be well positioned in case of geopolitical turmoil and for potential market upswings. Given our overall business mix, we continue to weather the cycle well. Hence, our outlook for the 2024 fiscal year is showing a solid margin well within our target operating model in a subpar growth year. A recovery for the consumer-facing parts of the business is expected for the second half of the 2024 fiscal year. At the same time, we have set course for the coming years of strong structural growth. We have initiated our expanded key investment projects in power, smart power MCUs and connectivity covering all the materials from silicon -- over silicon carbide to gallium nitride. Those investments are aligned with our target operating model ambitions to support our best-in-class trajectory of profitable growth also going forward. Ladies and gentlemen, this concludes our introductory remarks and we are now opening the call for your questions. As we have a long-term -- long queue and in terms of fairness, please restrict yourself to one question. Operator, please start the Q&A session now.
Operator: [Operator Instructions] And we'll take the first question from Francois Bouvignies of UBS.
Francois Bouvignies: So, maybe on the guidance. I mean, if you look at your guidance, you target a 4% growth for the top line and 24% EBIT margin. Now if we look at your next quarter, you have minus 4% year-over-year and 22% EBIT margin. And you're going -- in your comments, I mean, you said that you think it's going to impact the down-cycle H1 and you will see the recovery in H2. Now my question really is, you need to have plus 7% growth top line in the remaining of the year, excluding fiscal year Q1 and above 24% EBIT margin for the remaining of the year. So I wanted to ask you how should we think about fiscal Q2? I mean in this trajectory, should you have like back to growth in the second quarter? And do you have any tangible evidence already that basically Q1 would be the trough? Or should we expect another fiscal Q2 of challenging environment? That would be very helpful.
Jochen Hanebeck: Yes. Thank you for the question. I will take the lead on the revenue side and then Sven will chip in the other numbers. So first of all, one effect from Q1 fiscal to Q2 fiscal is that we expect a clean-up of inventories also at our Automotive customers. So Automotive will start in fiscal Q2 with a cleaner inventory situation at our customers. In the other end markets and I would pick here PSS as an example, we see that the inventory corrections are happening or have happened already. We see replenishment of inventories. The first indicator for this is typically short-term orders which we see in the Smartphone and Compute domain. And the market models suggest that many of the consumer devices come into age which are in the field. So replenishment on that end will also take place to a certain extent. And maybe Andreas could chip in here also the structural growth drivers, in particular on the computing AI side we see for PSS and then Sven on the bottom line.
Andreas Urschitz: Typically, AI, machine learning server requires 2 to 3 times the amount of power for doing machine learning as compared to a hyperscale server processor system, if you will, due to a very steep increase of need for AI cards. That, of course, structurally influences growth in the entire data center market that is towards our benefit. Sven?
Sven Schneider: Yes. Thank you. Not a lot to add but on the back of what my colleagues just said, I would recommend to model it more in terms of first half and second half. And indeed, Francois, you're absolutely correct. I mean, mathematically, if we start with 22% and want to be at 24% for the full year, then there must be a higher number. Therefore, I would say second half above the 24% and first half below the 24%. And as just explained, there will be some growth ahead of us also in Q2 but it's modest.
Operator: The next question we have is from Sara Russo of Bernstein.
Sara Russo: China was called out as particularly strong in electromobility and renewable energy. One of your peers commented that they saw some softening of demand, so weaker orders specifically from the China industrial segment. Are you seeing any evidence of that? And is that part of the guide to flat revenues for the Industrial segment?
Jochen Hanebeck: So I'm not sure whether I took the question correctly now with Industrial or E-mobility but I understand now it's in Industrial China. Yes, the classical industrial applications are weaker. The strength is in everything related to renewable energies, power infrastructure and so on. So Industrial stands here for automation and drives.
Operator: The next question we have is from Sandeep Deshpande of JPMorgan.
Sandeep Deshpande: One of the big trends here we are seeing is this huge investment that is happening in the lagging Edge in China. We can see that in the semiconductor equipment makers, I mean one of the devices that they are making is power semiconductor. Is this a mid to long-term risk for Infineon? And what do you see in the market at this point?
Jochen Hanebeck: Yes, Sandeep, thanks for the question. Indeed, we observed as everybody else that a lot of equipment for what is called mature semiconductors is going into China. But it remains to be seen which of these equipments are really creating valuable output. Our position and let's take Automotive, is very strong in China. We showed you a chart how broad our product portfolio is. 300 product families which is the base. And the base we build upon then is further in terms of driving technological leadership as well as our well-known P2S approach. Now we do expect at a certain point that somewhere in this broad product portfolio we'll see Chinese competition. Where and how much needs to be seen but again, it's a very broad portfolio which gives us a very resilient starting point. And I quoted a couple of cars which have a very, very high value content as we speak from Infineon. So we grow with the winners and also don't forget the Chinese OEMs want to go into export and especially in the export situation, quality and reliability are key for them.
Operator: The next question we have is from Didier Scemama of Bank of America.
Didier Scemama: I wanted to come back to your design wins in Automotive, specifically looking at microcontrollers. And if you could also comment on silicon carbide? First of all, incredible performance in Automotive MCU market share gains because that's a very sticky business. And I'm surprised you gained so much market share in such a short period of time. So I know you've talked about this in the past but can you tell in fiscal year '24 how much of the low double-digit growth is coming from those market share gains in microcontrollers? And second, on the silicon carbide front you mentioned 50% growth this year or next year. How much of that will come from Automotive?
Jochen Hanebeck: Yes. Thanks for the question. So the Automotive MCU story is a very, very long story. As you rightly point out, it's a very, very sticky business, probably the stickiest of all and those design wins are far back in the past. Of course, our portfolio was then amended with a portfolio of Cypress with this TRAVEO family which also nicely folds in. But really, the success base was late many years ago and we're taking now the fruits and, of course, drive the success story further with our next generation of microcontrollers. In terms of silicon carbide, you know our €500 million which we just achieved in the past fiscal year, 60% of that is Industrial, 40% is Automotive. I expect this to be similar for the next year before then in 2025 the new capacity from Kulim 3.1 kicks in. And our long-term share Automotive versus Industrial is 50-50 and we are very well on track, numerous applications. And I think this is also compared to other market participants, our advantage that we have gone into many end markets and not only at 1 or 2 prestigious OEMs. It's now the proof that resilience is in such a market environment a very high value.
Operator: The next question we have is from Alexander Peterc of Societe Generale.
Alexander Peterc: I would just like you to quantify the idle capacity charges in the report this quarter and how they will evolve in the first half of fiscal '24? At what point will you see peak charges?
Jochen Hanebeck: Yes. Thank you, Alex, for the question and I hand it over to Sven.
Sven Schneider: Yes. Alex. So we ended the fiscal '23 with -- let's round it to €425 million of idle. The peak, as I said last time in '23 was in Q4. So take €130 million, €140 million number. Now for this fiscal year, as we have said in the intro, we expect idle to come close to €600 million. So there's a €175 million increase year-over-year. Peak you asked, it's -- as I said also in my first answer to your colleague on margin development, I would like to guide more in first half and second half and not on a quarterly basis. I would say more than half of the €600 million -- slightly more than half of the €600 million should come in the first half and then it should go down to the lower part ending up at €600 million. So peak in Q1, Q2, you can say and more than €300 million in the first half.
Operator: The next question we have is from Jerome Ramel of BNP Paribas Exane.
Jerome Ramel: Just a question on the pricing, especially for Automotive, you said it remained firm. Could you quantify a little bit the pricing you are seeing? And also want to comment on the capacity with the Russian fleet from your clients? I think some of your peers say that it will go down next year but should continue for the coming years. It's not also something that you are seeing that your customers are looking, capacity for the coming years just purely from a strategic standpoint?
Jochen Hanebeck: Yes. I hand over these questions to Andreas.
Andreas Urschitz: First and foremost, the starting point for each and every pricing discussion -- Looking into '23, '24 is, so to say, what we have been doing with our customers in terms of getting prices up based on value-based pricing over the last 2, 2.5 years. So what is value-based pricing? Value-based pricing is pretty much us understanding the value add of our offerings in our end customer systems. While we also need to understand the value proposition of our competition. These 2 elements bring us to the point to sit with customers and so to say, derive additional value that we create in the customer system and translate that into what is then being called value-based pricing and leading to price up in the past history. It's important to understand this. Second point, we also did and to do value creation based on security and supply. We have been reporting again and again on this structurally driven faster-growing markets that Infineon typically is in. Supply security in the form of capacity reservation agreements is another value-creating element towards our customers where we have been capable to derive pricing and increase pricing in the recent past. These price levels to a large degree have come to stay. But as said by Jochen, we see a sluggish demand in the C3 and also IoT segments. While we see, on the other hand, the robust market conditions in the Auto and several Industrial markets. Thus as a consequence, we are confronted with price pressure in C3 [ph], especially in what we call more commoditized product groups or product segments. Overall, let me conclude, on Infineon Group level this translates into a very low single-digit price decline expectations that we see for fiscal '24.
Operator: The next question we have is from Andrew Gardiner of Citi.
Andrew Gardiner: I just wanted to follow up on the point Didier was making earlier -- initially. Can you give us a sense as to how much of the double-digit revenue gain you're targeting in Automotive is indeed content versus market share? And then also in -- related to Automotive, backlog in general is coming down but you're saying Automotive does remain very strong over half of the company's backlog. With the capacity growth that you're targeting through the CapEx, any sign of supply and demand coming into balance anytime soon for Automotive?
Jochen Hanebeck: So it's -- thanks for the question. It's very difficult to dissect the market share gains versus general market. But our strong positioning in the key value drivers like the power modules and the MCUs are, of course, helping us. And on the MCU side, it's for sure market share gains, again, as I explained, out of significant design wins from the past. In terms of backlog, you rightly point out, we said, overall, it's €29 billion and out of that 2x the expected revenue of Automotive. So Automotive has a very strong order backlog. In terms of capacity and demand, again, a huge chunk of our planned investment for the current fiscal year goes into construction of new facilities which are not immediately providing capacity. So please keep this in mind. But we keep on investing into wide bandgap mainly. Nevertheless, there are still some pockets of tight supply in the automotive arena around legacy microcontrollers as well as, of course, high-voltage power semiconductors. In terms of microcontroller, maybe one more aspect. We clearly see double-digit growth from year-over-year here from '23, '24. So the success story of microcontrollers continues.
Operator: The next question we have is from Joshua Buchalter of TD Company.
Joshua Buchalter: I guess I wanted to follow up on a few previous ones on inventories and utilizations. It seems like there's a lot of moving parts with your inventory levels with some more safety stock desired in autos and then pockets of weakness in non-autos. I guess big picture, how should we expect on books inventories levels to shift -- to trend through the year? And then is the assumption essentially that you get things cleaned up in the fiscal first half of the year in the channel and then you're sort of shipping in line with end demand in the second half?
Jochen Hanebeck: Yes. So first of all, I would like to pick up on the distinction I made in my intro. We have, or we are building up, a good chunk of it is already available. Strategic inventories for 3 topics, one being inventory where the customers explicitly ask and pay for it. A second chunk in that is for geopolitical risk and also another part of it is for optimizing our manufacturing footprint. So this is one chunk of up to €500 million of inventory which we consider as a strategic point. And then there's, of course, the operational inventories. We are, as we said, going into a quarter -- or this current quarter is a quarter where we expect a clean-up of inventories at our customers. So our own inventories will go up. And we see then an inflection point of our own inventories in line with the revenue growth in the second half of the fiscal year.
Operator: The next question we have is from Stephane Houri of ODDO BHF.
Stephane Houri: Yes. I would like to come back maybe on the guidance on the Automotive division. So you maintained your low double-digit comment. And maybe if you could give us another element which would be the growth expected from the EV product? That's the first one. And maybe a general comment about why we see so much discrepancies in the narrative, in the Automotive EV world where we see some tension? And you are saying basically it's continuing to grow and it doesn't seem that there is any big issue at the moment?
Jochen Hanebeck: Yes. So the answer to this is our broad reach, our broad customer portfolio. So we are not dependent only on one or the other OEM. We are very well positioned in all major markets, in particular in China. We are all aware that some Western OEMs are resizing their short-term EV targets. Whereas in China, we see unabated demand and that goes across also silicon and silicon carbide. You may know that there are very successful models in China which are plug-in hybrids with long range. And here, for example, we are very well positioned. So the broad base of our customers and applications and technologies helps us to distinguish from the competition. And therefore, we expect the number of battery electric vehicles in the world in 2024 around 15 million cars. Now the growth rate of EV-related business will be, again, I suppose, double-digit -- mid-double-digit percentage points, to give you another insight here. So in -- all in all, we do see these shifts in the market. As expected, the adoption of electric vehicle will not be linear. There will be phases of acceleration and local deceleration. And the later we see currently in some Western markets but the structural growth driver is fully intact, just call it bumps on the road.
Operator: The next question we have is from Johannes Schaller of Deutsche Bank.
Johannes Schaller: I was wondering if you could maybe zoom in a little bit more on the renewable energy market, especially on the PV side? I think there's quite some mixed data points out there, some profit warnings on the residential side, obviously. And then I think on the more industrial utility scale for the voltaic side, I think the jury is still out there. You sounded relatively confident and maybe you can share a bit more detail on that with us? And then as a follow-up just on the inventory situation. I mean if we take your structural inventory into account that you talked about, it looks like you want to get to maybe 125, 130 days of inventory outstanding. Is that kind of the new normal you're working towards with your inventory digestion phase? Is that a fair assumption?
Jochen Hanebeck: So I take the question on the renewables and the inventory, Sven will answer. So again, renewables, you need to look into all the elements. As you rightly point out, there are some OEMs which point to a weakness in residential solar but we also see a strong growth going into next year in industrial applications, industrial scale, I have to say, especially here in China. And don't forget the demand that goes into the power infrastructure is very, very significant. And that ranges from chargers, meaning e-mobility or electric car chargers to a trend which is picking up very strongly, is resident [ph].
Andreas Urschitz: Storage.
Jochen Hanebeck: Storage -- battery storage. Thank you, Andreas. Battery storage and so on and so forth. So in those markets we see strong demand, even though in some other pockets, as you rightly point out, things are weakening a bit. And to the inventory, I hand over to Sven.
Sven Schneider: Yes, Johannes. So again, just to recap what Jochen said, there is this combination of; we call it, strategic and normal inventories, if you like which will bring the numbers up. We have given you the inflection point. So we will then, in the second half of the year, reduce the days of inventory. I don't want to give now a guidance of 125 and 135, as you said, as the new normal. Let's look at how quickly this inventory digestion happens and of how long we want to keep these strategic inventories for other reasons. And then we will give you a more precise guidance but it's a bit too early. But one thing is clear, our intention is not to end the year with the number we have here now.
Operator: The next question we have is from Tammy Qiu of Berenberg Bank.
Tammy Qiu: So related to your China market and your positioning there, can you explain, is your position stronger in the whole system-based solution side? Or do you also sell wafer into the OEMs or the chip makers in order to make that module?
Jochen Hanebeck: Yes. So first of all, the -- our overall -- and I guess you refer here to the Automotive market. Our market share in China is very strong. We are clearly the number one from -- compared to all the other Automotive semiconductor supplier. Again, we have a very, very broad portfolio even as the high-power business is catching the headlines but don't forget all the other parts we are selling there. Now I guess the last part of your question refers to the high-power applications. And here we offer basically all sorts of products, be it diodes and modules. And keep in mind that for modules, we have a joint venture in China with SAIC which is serving the market predominantly in that regard. But we are flexible with respect to market requirements. But I can say that the share of modules in China is rather high.
Operator: The last question we have is from Simon Coles of Barclays.
Simon Coles: It's another one on China. We get lots of questions around Chinese EV makers potentially moving to local suppliers. So linked to the earlier question. We know there's later supply coming but there is supply today. I was just wondering if you could give color around your conversations with those EV makers and how they debate with you, whether to move to a local supplier or to continue to use Infineon? Presumably, it's your quality offerings that you can bring but I would love to hear your view.
Jochen Hanebeck: Yes. Of course, it's a big market and therefore, attracts lots of players and many are tempting [ph]. That's also in line what we discussed before. A lot of mature equipment goes to China but then you also have to deliver -- Especially for automotive, you need to deliver in terms of quality. So we see a lot trying. But at this point in time, we feel that we have a good and sustainable market position in China with high power products. And again, if you refer here to some market share analysis, keep in mind that our -- a good chunk of our business goes through the joint venture with SAIC [ph] in addition to the business we are doing directly in China. All right. It's now time to wrap up our call, given that our Board members have to go to the annual press conference. Thank you very much for all your questions. Should you have any further queries, of course, the IR team stands ready to cater to those. After a long earnings season, please take care and have a good time until the year-end. Bye-bye.